Operator: Ladies and gentlemen, thank you for standing by. Good morning, and welcome to the Choice Hotels International First Quarter 2018 Earnings Conference Call. [Operator Instructions] As a reminder, today’s call is being recorded. During the course of the conference call, certain predictive or forward-looking statements will be used to assist you with understanding of the company and its results. Actual results may differ materially from these indicated in forward-looking statements, and you should consult the company’s Form 10-K for the year-ended December 31, 2017, and the company’s other SEC filings for information about important risk factors affecting the company that you should consider. These forward-looking statements speak as of today’s date, and we undertake no obligation to publicly update them or reflect subsequent events or circumstances. You can find the reconciliation of our non-GAAP financial measures referred to in the remarks as part of our first quarter 2018 earnings press release, which is posted on our website at choicehotels.com under the Investor Relations section. With that being said, I would now like to introduce Pat Pacious, President and Chief Executive Officer of Choice Hotels International, Inc. Please go ahead, sir.
Pat Pacious: Thank you. Good morning, and welcome to Choice Hotels’ First Quarter 2018 Earnings Conference Call. Joining me this morning is Dom Dragisich, our Chief Financial Officer. We are very pleased with our first quarter results, which exceeded our expectations and continued to build upon our robust 2017 performance. Lodging fundamentals remained strong and our brand continued to perform for hotel owners. As a result, we continue to grow, invest in our business and return capital to shareholders. For the first quarter, our RevPAR and earnings exceeded the top end of our guidance and grew impressively year-over-year. The number of rooms and units in our domestic system increased 9.7% and 7.4%, respectively, including the addition of the WoodSpring Suites brand to our portfolio. We continue to expand our international footprint into new countries and increase our presence in the markets in which we currently operate. In April, we announced a strategic alliance with Sercotel, a leading hotel operator and franchisor based in Spain. This alliance establishes the framework for the extension of Choice Hotels’ global footprint into Spain and other markets as well as the creation of new opportunities for additional hotel development across Europe and Latin America. Our proprietary revenue delivered to our hotels continued to grow, increasing 200 basis points from the first quarter of 2017. Helping to drive our proprietary revenue contribution is the increasing pace of Choice Privileges enrollment. We added 1.2 million new members in Q1 and now have over 36 million in total. We continue to grow the number of people booking directly with us. A great example of our success in this area is the Choice Hotels mobile app, which continued to show strong growth metrics this quarter. Visits to the app are up 60% and revenue is up 45% from the first quarter of 2017. None of this would be possible without a strong corporate culture and our very talented employees, and we are very pleased to have been recently named one of America’s best midsize employers by Forbes magazine. Last week, we hosted nearly 6,000 owners, operators and vendors at our 64th Annual Choice Hotels Convention. In addition to sharing our brand strategies, holding numerous education sessions and hosting a large trade show, we spent much of the week listening to and learning from these hotel owners and operators. The excitement was palpable. Our owners are energized by how we continue to grow and evolve our family of brands. For example, in extended-stay, we highlighted the acquisition of the WoodSpring Suites brand, the nation’s fastest-growing economy extended-stay hotel brand. In mid-scale, our RevPAR growth outpaced the industry in Q1. There was a lot of excitement for the Comfort brand and its new brand image that we unveiled, another milestone in the brand’s renaissance. And finally, we have strengthened our presence in upscale by expanding Cambria Hotels into more top 50 RevPAR markets. Our strategy is working, and optimism for the year ahead is supported by the favorable economic environment including tax reform, our continued focus on franchisee profitability, the strength of our value proposition and the continued growth of our well-segmented brand family. Given that it’s just about 3 months since we closed on the WoodSpring acquisition in February, I wanted to give you a substantive update. The extended-stay segment continues to exceed the RevPAR growth rate for the overall industry. For the first quarter, RevPAR was up 4.9% for the overall extended-stay segment, according to STR. WoodSpring outpaced the segment with a 13.5% RevPAR increase in the first quarter of 2018 compared to the same period of the prior year. In addition, our mid-scale extended-stay brand, MainStay Suites, experienced RevPAR growth of 11.4% in the first quarter of this year compared to the same period of the prior year. I’m also pleased to report that WoodSpring achieved a record-setting quarter for development. The WoodSpring prototype has 122 rooms, and this room count is larger than the prototypes of many of our existing brands. Therefore, WoodSpring will enable our rooms growth to accelerate and outpace unit growth. In the first quarter, we awarded 33 new WoodSpring franchise agreements, representing the highest level of quarterly franchise sales in the brand’s history. 31 of these 33 contracts took place after we closed on the acquisition, including 19 with WoodSpring’s largest franchisee. And our other extended-stay brands, MainStay and Suburban, saw significant growth in the quarter. We awarded 13 contracts combined for MainStay Suites and Suburban. In addition to increasing the WoodSpring Suites pipeline, we’ve accomplished a lot in our first 90 days. I’ve met with and listened to owners across the country, visiting them and their hotels in Seattle, Denver, Dallas and Atlanta among others. And most recently, I had the chance to speak with around 200 of the WoodSpring owners at their conference late last month. There, I shared Choice’s commitment to success in the extended-stay segment. WoodSpring owners have shared with me their enthusiasm for being part of the Choice family, which includes our world-class franchise development team, distribution channels and technology platform to help them grow. Plus, WoodSpring owners have expressed that the combination of the Choice acquisition, the brand’s performance and institutional capital’s commitment to the brand will strengthen their return on investment. Looking ahead, we set a number of goals for the brand’s future growth. We expect a total of 17 WoodSpring openings in 2018, including 2 that took place in January, and more than 50 ground breaks on new properties. Just 2 weeks ago, construction started on the first WoodSpring in Oregon. Accomplishing these targets will help WoodSpring Suites surpass the milestone of 250 hotels open this year, with openings accelerating into 2019. Turning to other achievements this quarter. Our proven leadership and knowledge of the mid-scale segment continues. The Quality Inn brand continued its impressive growth, posting a 4.8% domestic RevPAR growth in the first quarter versus 3.8% for the overall segment and increasing its domestic unit count by over 7% compared to the prior year. Additionally, the pipeline for both our Sleep Inn and Quality Inn brands grew by nearly 20% compared to the prior year. Turning now to the upper mid-scale segment. The transformation of our 1,600 Comfort properties continues with property renovations, including new modern lobbies and upgraded guestrooms. Together with our owners, we will have invested $2.5 billion in the Comfort brand by the end of 2019. Last week, we introduced a new Comfort brand image to our owners. The new logo represents an important shift for the brand across its locations, unifying Comfort Inn, Comfort Inn and Suites and Comfort Suites as one brand family, the way our guests already perceive them according to our consumer research. This is a multiyear process. Guests can expect all the Comfort properties across United States to have completed their renovations and updated their signage by the end of 2020. Only after a hotel completes these renovations can it use the new logo on its building and across digital channels. We are optimistic that these refreshed hotels will result in continued improvement in the RevPAR results generated by the Comfort brand. We continue to attract developers and owners to invest in and build Comfort hotels across the country. The Comfort brand now has one of the largest pipelines in its history, with nearly 300 properties, over 80% of which are new construction. Lastly, I’d like to highlight our upscale segment, where we have over 45,000 upscale hotel rooms across the globe. The $475 million in recyclable corporate capital we are investing in the Cambria brand is paying off. Last year, we had the most Cambria openings in a single year, and that momentum continued into the first quarter of 2018. Cambria Hotels has the largest pipeline in the brand’s history, with hotels open or in the pipeline in 42 of the top 50 U.S. RevPAR markets. ADR is up nearly 6% year-over-year, and with the expected ramp of newly opened hotels, we expect continued RevPAR growth. The New Orleans Cambria, which opened in October of last year, is a great example of this, it has ramped very quickly. In its fifth full month, which was March, it achieved a nearly 100% RevPAR index. In the first quarter, we also celebrated 3 Cambria openings in major markets, all of which feature design details tailored to each property’s locations. Cambria Hotels made its debut in the music capital of the world in January with the 255-room Cambria Hotel Nashville Downtown, the brand’s largest property. We also opened the Cambria Hotel Phoenix in Chandler, near the Fashion Center, and the Cambria Hotel Philadelphia Downtown Center City opened its doors at the end of March. The hotel is located in the heart of downtown Philly, and this 223-room property will feature the only rooftop restaurant and bar on Broad Street. Our growth this quarter shows that our strategy is working. Overall, a strong labor market combined with tax reform gives us continued optimism for the remainder of 2018. As last week’s jobs report indicates, we continue to see unemployment at a record low of 3.9%, consumer spending continues to be solid and consumer confidence is high. Our developers and franchisees continue to reinforce that it’s still a strong lending environment. Our developers and owners appreciate Choice’s well-segmented brands. And people are beginning to better understand the industry-wide implications of tax reform. This is driving them to seek out opportunities for both newbuilds and conversions. All of this reinforces that the lodging cycle and, more importantly, Choice Hotels still has runway for growth. In summary, our portfolio of well-segmented brands is getting stronger and growing. By continuing to lead in mid-scale, acquiring the WoodSpring brand, transforming the Comfort brand and advancing the Cambria brand, Choice Hotels is well positioned for a successful remainder of 2018. I now like to turn it over to our CFO, Dom Dragisich, who will share more specifics of our financial results. Dom?
Dom Dragisich: Thanks, Pat, and good morning, everyone. We are off to a great start this year, and we are optimistic that our strong performance will continue. During the first quarter, we exceeded expectations for our key financial and operational metrics including, but not limited to, adjusted EBITDA, adjusted earnings per share and RevPAR. The continued strength in our operating performance and generation of significant cash flows allowed us to repurchase $42 million of our common stock and will enable continued investment in our business and the return of capital to our shareholders. Now let’s talk about the first quarter results and outlook in more detail. This morning, we reported adjusted diluted earnings per share of $0.67, a 24% increase over the prior year. This adjusted diluted earnings per share performance exceeded the midpoint of our guidance by $0.08 per share and the high end of our guidance by $0.06 per share. Our outperformance was driven by both our core franchising operations and a lower effective income tax rate, partially offset by onetime below-the-line items during the quarter. Our first quarter financial performance was highlighted by revenue growth of 11% over the prior year period and adjusted EBITDA for the quarter of $66.9 million, a 15% increase over the same period of the prior year. Our effective income tax rate for the quarter was approximately 18% compared to our initial forecast of 23%. This rate was primarily lower due to onetime discrete tax benefits. We continue to forecast our recurring tax rate for the second quarter and the remainder of the year to be 23%. Our full year tax rate is expected to be slightly lower at 22% due to actual first quarter results. Our commitment to franchisee profitability is driving incremental revenues to hotels. As a result, our first quarter hotel franchising revenues increased 13% from the same period of the prior year to approximately $98.6 million. Our hotel franchising revenue growth was highlighted by our domestic royalty fees, which also increased 13% to $71.8 million. Domestic royalty fees reflect the continued growth in all 3 of our key royalty levers, and we are optimistic that this record runoff performance will continue. Specifically, in the first quarter of 2018 and excluding the impacts of WoodSpring, domestic RevPAR exceeded the top end of the outlook we provided in February, domestic units increased 2.9% and domestic effective royalty rate increased 13 basis points over the same period of the prior year. The addition of WoodSpring further improved each lever, adding an incremental 40 basis points to domestic system RevPAR growth, 4.5 percentage points to domestic system unit growth and 2 basis points to the domestic system effective royalty rate increase in the first quarter compared to the prior year quarter. Now we’ll share more detail about the first revenue lever, our domestic RevPAR performance. On a pro forma basis, including the acquisition of WoodSpring for the full quarter, our domestic RevPAR increased 3.5% compared to the same quarter of the prior year. This growth was driven by increases in both average daily rates and occupancy rates and was in line with the overall industry, which also increased 3.5%, as reported by STR. As Pat mentioned, we are particularly impressed with the performance of WoodSpring, which posted RevPAR gains of 13.5%. The economy extended-stay segment continues to perform exceptionally well, and we are excited that WoodSpring Suites is leading the pack. Based on our first quarter results and current RevPAR trends, we are increasing our full year domestic RevPAR growth outlook, excluding the impact of WoodSpring, by 50 basis points at both the top and bottom ends of our range to 1.5% to 3.5%. We expect second quarter domestic RevPAR, excluding the impact of WoodSpring, to increase between 2% and 4% over the same period of the prior year. The second revenue lever, unit and room growth, experienced an exceptionally strong quarter. Domestic franchise system growth continues to accelerate, highlighted by a nearly 25% increase in the number of new domestic hotel openings in the first quarter compared to the prior year. As a result of this, in our WoodSpring acquisition, our domestic units and rooms grew by 7.4% and 9.7% respectively. Excluding the acquisition of WoodSpring, we achieved 2.9% unit growth over the same period of the prior year. This represents an acceleration from the 2.6% growth reported in the fourth quarter of 2017. In addition, our focus on franchisee profitability again fueled strong development results. During the first quarter of 2018, we awarded 122 new domestic franchise contracts, a 15% increase from the first quarter of 2017. These new domestic franchise agreements represent over 10,000 new rooms, an increase of 44% compared to the first quarter of 2017. We are particularly pleased with the increase in new construction domestic franchise agreements, which increased nearly 75% for the first quarter of 2018 compared to the same period of the prior year. Our exceptional new construction and rooms growth is highlighted by the success of our upscale brands and WoodSpring. Pat already discussed WoodSpring’s development success. We also achieved a 50% increase in executed agreements for our upscale brands, Cambria and the Ascend Hotel Collection, over the same period of the prior year. Additionally, we continue to experience robust demand for our other brands, including a nearly 20% increase in awarded Quality Inn agreements in the first quarter compared to the same period of prior year. Our overall domestic pipeline has remained robust, increasing 26% at March 31, 2018, over the prior year to 914 hotels, representing over 74,000 rooms. Industry fundamentals remain favorable, and our robust pipeline should continue to fuel our domestic franchise system growth. As such, we are maintaining our domestic unit growth guidance and expect it to range between 2.5% and 3.5%. Including the acquisition of WoodSpring, we expect domestic units and rooms to increase 7% and 8%, respectively. We also expect both unit and room growth to accelerate in 2019. The third and final revenue lever I want to discuss is our royalty rate growth, which continues to be driven by the pricing of our franchise agreements. Excluding WoodSpring, our domestic effective royalty rates expanded by 13 basis points in the first quarter compared to the prior year. This growth was slightly higher than expected. Therefore, we are increasing our full year guidance by 1 basis point at the top and bottom ends of our guidance and now expect our effective royalty rate growth to range between 8 and 10 basis points excluding the impact of WoodSpring. Although we are not including WoodSpring’s impact on this effective royalty rate guidance at this point, the WoodSpring brand commands higher royalty rates than our overall portfolio. In fact, WoodSpring further increased our effective royalty rate from 4.68% in the first quarter to 4.72%. When WoodSpring’s results are included on a pro forma basis for the full first quarter, our domestic effective royalty rates increased 15 basis points over the prior year period. So as you can see, our ongoing focus on providing resources to improve business delivery to our franchisees has resulted in impressive first quarter performance of our 3 key levers. The success of these critical growth factors resulted in top line franchising revenue growth. In addition, we continue to prudently manage SG&A costs and, as a result, our adjusted hotel franchising EBITDA increased 15% from the prior year first quarter. Finally, I’d like to comment on our outlook for the remainder of 2018. Similar to the guidance we provided in February, our adjusted EBITDA, adjusted net income and adjusted earnings per share forecast presented in the outlook section of our release were prepared utilizing the new revenue recognition standard and include the impact of the WoodSpring acquisition. However, the outlook excludes the impact of onetime integration and acquisition-related costs as well as the impact of net surpluses or deficits generated by marketing and reservation activities. Based on our first quarter results and the outlook for the remainder of the year, we are increasing both our adjusted EBITDA and adjusted earnings per share forecast. We now expect our adjusted EBITDA to range between $330 million and $337 million and our adjusted hotel franchising EBITDA to range between $334 million and $341 million. In addition, we are increasing our guidance for adjusted diluted earnings per share to range between $3.61 and $3.71 per share. We are maintaining our guidance for our nonhotel franchising operations and expect net reductions in EBITDA to be between $3 million and $5 million. And we expect our adjusted diluted earnings per share for the second quarter to range from $1 to $1.03 per share. In summary, we are very pleased with our strong first quarter and we are optimistic that the momentum of our key royalty levers, franchise development results and overall financial performance will continue. At this time, Pat and I would be happy to answer any questions you may have.
Operator: [Operator Instructions] And the first questioner today will be Robin Farley with UBS. Please go ahead.
Raffi Bhardwaj: This is Raffi on for Robin. So it looks like you raised your 2018 RevPAR guidance slightly more than the Q1 peak. Can you talk about what you’re seeing that underlies some of the optimism for the raise?
Pat Pacious: Yes. I think we’re looking at kind of where the first quarter came in and we were looking at the opportunity that we see both in the consumer front. And we’ve been out talking with a lot of economists and forecasters, really looking at what the impact of tax reform is going to mean for both small business owners and also for middle-class travelers, who’s the primary bulk of our consumer base. And we’re feeling a little bit more optimistic on that front. There are some onetime events that occurred in the sort of back half of 2017, the solar eclipse and some hurricane impacts that – we can’t expect those things to reoccur, but we are optimistic on sort of the direction that the consumer is headed in. And particularly when you look at the unemployment rate for the type of consumer that stays in our hotels, that’s getting better. And energy prices, which is the other sort of driver of travel demand, appear to be staying within normal bounds. So all of those factors really, I think, help us develop a little more confidence about the second half or the next 3 quarters into 2018.
Raffi Bhardwaj: All right. And just last question. Looks like WoodSpring had a really strong quarter. Looking into 2019, 2020, do you expect to see WoodSpring continuing to be a tailwind for RevPAR unit royalty rate growth? And when do you think that would normalize?
Dom Dragisich: Well I think it’s a little too early to tell with regards to RevPAR and effectively royalty rate. Obviously, the effective royalty rate is expected to be accretive to the overall portfolio. You can see where the effective royalty rate is today, above the 5% mark. So given where the rest of our portfolio is, we do expect that to be a tailwind to the overall effective royalty rate. I think from a units perspective, we expect it to be a strong tailwind as well. Pat mentioned on the call, in the prepared remarks, the 50 ground breaks that we expect this year. So we do expect to see that as an accelerator of our overall units, and more importantly, our rooms growth, especially given the fact of the 122-room prototype. And then from a RevPAR perspective, to sit here and say that we expect 13.5% RevPAR to continue, I think it’s a little too early to tell. We’re going to get our arms around the RevPAR forecast over the next several months and we’ll be issuing that as part of guidance later in the year.
Pat Pacious: And I’ll also say on the development front, the enthusiasm around this brand, particularly post acquisition, is increasing. And we were just at our convention in – last week. And we brought the franchisee advisory council from WoodSpring to that event. And there was a lot of interest from existing Choice Hotels owners in the WoodSpring brand. And, I think, also the sort of trajectory that they now see that the brand is sitting on top of world-class distribution platform, it’s really creating a lot more excitement about the brand, and we’re certainly going to be a beneficiary of that.
Raffi Bhardwaj: All right, great. Thanks.
Operator: And our next questioner today will be Shaun Kelley with Bank of America. Please go ahead.
Unidentified Analyst: This is Daryush [ph] on for Shaun Kelley. So on development net unit growth ex WoodSpring’s in Q1 started off at the middle of your annual guidance, and commentary was pretty positive. How should we think about the cadence in that unit growth for the balance of the year directionally speaking from Q1? And what are some of the puts and takes as we head into the back half of the year as well as 2019 again ex WoodSpring’s?
Pat Pacious: Yes. I think so we’re off to a really good start in the first quarter from a development perspective. We’re kind of sort of sticking with the current unit growth expectations that we have. We look at the brands that we are selling. When I mention that a lot of the brands are starting are new construction, but the actual – it’s taking more like 2.5 years to get those hotels from executed contract to an open hotel. So that optimism and that new construction lever is going to – is a real positive for us because it keeps the age of the brand moving in the right direction when you bring in new product but it takes longer for those hotels to open. So while we are seeing an increase in domestic contracts, the good news there is it’s a lot of new construction, but the downside or the thing you have to wait for it – a little bit patience as those things take a little bit longer to open. For our conversion brands, we’re seeing, and we talked about the Quality Inn brand in particular, significant growth, and again those conversion hotels tend to get into the system in a much more rapid pace.
Dom Dragisich: Daryush [ph], we talked about this a lot on our previous calls. If you think about where we landed ex WoodSpring in Q1, we are right around that 2.9% or so. We guided for the full year 2.5% to 3.5%. So we expect to maintain that run rate from the first quarter throughout the remainder of the year. We also talked about the fact that in the future 2019 and beyond, we expect an acceleration of the entire portfolio given some of the new construction items that Pat alluded to. And so we have always expected a ramp in 2019 in terms of units and rooms growth, frankly. That’s Comfort transformation and some of the other large products that’s coming through the pipeline. I think, WoodSpring, frankly, when you talk about the ground break that we saw could only serve as a further catalyst.
Pat Pacious: And one additional point on WoodSpring, the average construction time for that brand is less than 12 months. So that is a brand, while it is new construction, actually opens in a much tighter time window than some of our other brands.
Unidentified Analyst: No, that’s super helpful color. And just sort of follow-up on that. Some of – Marriott and some others talked about construction labor being tight in the market, some taking a bit longer than expected. What are you guys seeing, particularly with – on the ground – particularly with some of the brands that may take a bit longer from a duration side on the construction piece?
Pat Pacious: Yes. I think it’s market-by-market. It’s funny, I had a conversation with some developers who are developing in Houston, and you would think with all the Hurricane Harvey impacts that they’d have a tougher time finding construction labor, and that wasn’t the case. So it’s really spotty market-by-market. Yes, I would say too that when you look at the time frame, a lot of it has to do with the entitlement process, particularly for new construction. So those are the things that are extending the time frame for new construction.
Unidentified Analyst: That’s helpful. Thanks. And then Dom, maybe for you on buybacks, you guys repurchased $42 million in the quarter, which is the largest quarterly purchase in a number of years. Moving forward, how should we think about your approach to buybacks and the willingness to tap capital markets?
Dom Dragisich: Sure thing, so I think we think about the way that we always have, right. We’re always going to opportunistically take a look at buybacks as one of our levers for capital deployment in the company. But we’re always going to look first and foremost on internal investments. We talked about in the past, and we continue to talk about the $475 million that we have deployed against Cambria. Certainly have other internal initiatives that we’re going to want to invest in first and foremost. But if we do have excess capital, our plan is to continue to return that capital back to shareholders.
Unidentified Analyst: Great. Just as a quick reminder, what’s your target net leverage ratio?
Dom Dragisich: 3 to 4.
Unidentified Analyst: Great. Thanks a lot guys.
Dom Dragisich: Thank you.
Pat Pacious: Thanks.
Operator: [Operator Instructions] And our next questioner today will be Anthony Powell with Barclays.
Anthony Powell: Hi, good morning everyone. One of your peers is saying that they introduced again a new prototypes for their extended-stay brand that cost between 70,000 and 75,000 per key. How does WoodSpring compare to that?
Pat Pacious: WoodSpring is lower than that. I think when we talked to owners on average, we’re talking about 60,000 per key.
Anthony Powell: Got it. And WoodSpring, obviously, good RevPAR growth in the quarter. Was any of that hurricane-induced demand or any kind of onetime or aberrational demand?
Dom Dragisich: No indication that it was a onetime phenomenon. I think the overall economy extended-stay segment is very strong. And, obviously, with WoodSpring’s business model, we believe that we outpaced.
Anthony Powell: Okay. And one more for me. The nonfranchising, both revenue and SG&A increased year-over-year. Could you just let us know what’s going on there?
Dom Dragisich: The nonfranchising SG&A?
Anthony Powell: Nonfranchising revenue and SG&A both were up year over year. So if you can update us on things like vacation rental or any of your SkyTouch or any activities there, that would be great.
Dom Dragisich: I think the overall SG&A, when you think about that is obviously driven by some of those onetime costs associated with WoodSpring, et cetera. I think, on the nonfranchising side of the house we’ve seen some pretty dramatic improvement in terms of the sales cycle for those particular business units. SkyTouch in particular has now has almost over 600, I believe, customers, third-party customers on that platform, and so we’re continuing to see pretty dramatic improvement there on the top line. Obviously, that top line requires some support. We do anticipate coming in right at that midpoint of the, call it, the negative 4 to negative 5 or so in terms of the burn rate for the year, which is a $2.5 million improvement. Quarter 1 tends to be a little heavier just because you are beginning to deploy some of the capital against some of those new initiatives. But we do anticipate still coming in with the midpoint of that range.
Anthony Powell: Okay. And what’s the update on, I guess, the long-term, kind of, plan with SkyTouch? I know there is an idea of selling it originally, but is that still in the cards? Or is that – are you – do you have a new plan there?
Pat Pacious: Yes. I mean you have to think of it this way. There is currently about 6,500 hotels that are on that platform. About 6,000 are Choice franchised hotels, and as Dom mentioned, we’re now a little over 600 hotels that around third party on that platform. We like it as a subsidiary. There is about nearly 50,000 rooms outside of the Choice system that are on the SkyTouch platform and about $5 million in recurring revenue. It is a Software-as-a-Service business, so as Dom described it, you sort of pay early on for marketing fees that provide you a nice subscription fee in the longer term. So we’re pretty pleased with it as a current subsidiary of Choice Hotels.
Anthony Powell: Great. Thank you.
Pat Pacious: Thank you.
Operator: And this will conclude our question-and-answer session. I would like to turn the conference back over to Pat Pacious for any closing remarks.
Pat Pacious: Great. Thank you all for joining us this morning, and have a great day.